Operator: Good morning, everyone, and welcome to the nVent Electric First Quarter 2023 Earnings Conference Call. [Operator Instructions]. And at this time, I'd like to turn the floor over to Tony Riter, Vice President of Investor Relations. Sir, please go ahead.
Tony Riter: Thank you, and welcome to nVent's First Quarter 2023 Earnings Call. On the call with me are Beth Wozniak, our Chief Executive Officer; and Sara Zawoyski, our Chief Financial Officer. They will provide details on our first quarter performance, provide an outlook for the second quarter and an update to our full year 2023 outlook. Before we begin, let me remind you that any statements made about the company's anticipated financial results are forward-looking statements subject to future risks and uncertainties, such as the risks outlined in today's press release and nVent's filings with the Securities and Exchange Commission. Forward-looking statements are made as of today, and the company undertakes no obligation to update publicly such statements to reflect subsequent events or circumstances. Actual results could differ materially from anticipated results. Today's webcast is accompanied by a presentation, which you can find in the Investors section of nVent's website. References to non-GAAP financials are reconciled to the appendix of the presentation. We'll have time for questions after our prepared remarks. With that, please turn to Slide 3, and I will now turn the call over to Beth.
Beth Wozniak: Thank you, Tony, and good morning, everyone. It's great to be with you today to share our first quarter results. We had a strong start to the year. We continue to advance our strategy with our focus on high-growth verticals, new products and geographic expansion. We delivered record first quarter sales, growing 7% with adjusted EPS up 34%. We had impressive year-over-year margin expansion and robust free cash flow. Our Enclosures and Electrical & Fastening segment sales grew double digits with the trends in the Electrification of Everything. In addition, we're excited to expand our connect and protect portfolio with the announcement to acquire ECM Industries. Overall, we are pleased with the strong start to the year and are raising our full year sales and adjusted EPS guidance. Now on to Slide 4 for a summary of our first quarter performance. First quarter sales were up 8% organically with all verticals growing. New products contributed approximately 3 points to our sales growth, and we launched 17 new products in the quarter. Segment income grew 34% year-over-year with return on sales up an impressive 410 basis points. Adjusted EPS grew 34%, and we generated $52 million of free cash flow compared to a $3 million usage a year ago. We're on track for another strong year. With our focus on the Electrification of Everything, we continue to have significant wins in our portfolio. In data solutions, we recently won a large contract with a semiconductor company for a new liquid cooling system for their data center. We also won a multimillion dollar contract for cable management solution with a hyperscale modular data center provider. On e-mobility, our ERIFLEX connections have been specified by European OEM leader in power solutions for EV chargers. And with the energy transition, we continue to have wins in LNG, clean fuels and carbon capture. We recently won several multimillion-dollar contracts for our heat tracing systems, providing reliability and optimization. Looking at our key verticals, all grew organically in the quarter. Infrastructure led the way up mid-teens, including data solutions growing 20% and power utilities up over 30%. Industrial grew high single digits with broad-based growth. Energy performed well, up mid-teens. And finally, commercial and residential grew low single digits. Turning to organic sales by geography. We continue to see broad-based growth in North America, up low double digits. Europe grew high single digits and Asia Pacific declined primarily due to a slow recovery in China. Lastly, orders in Q1 were flat year-over-year. Recall, a year ago we had 28% order growth in the first quarter. As we said at our Investor Day, orders were positive through February. However, March orders declined with our toughest monthly comparison from a year ago. In addition, our distribution partners were adjusting their inventories and destocking with improved supply chains. We expect this to continue into Q2. Importantly, customer demand and distributor sell-through remains strong. Looking ahead, we are raising our full year guidance, reflecting our strong start to the year. We expect electrification, sustainability and digitalization to drive demand. Specifically, we expect continued strength in infrastructure, including data solutions, power utilities and renewables. In industrial, with the trends of automation and onshoring and in energy with the energy transition. We expect commercial resi to slow. While our outlook is positive, we remain cautious due to the macroeconomic environment, overall, I'm proud of our nVent team and how we continue to perform and deliver impressive results. We are on track for another strong year. I will now turn the call over to Sara for some detail on our first quarter results and our updated outlook for 2023. Sara, please go ahead.
Sara Zawoyski: Thank you, Beth. Let's begin on Slide 5 with our first quarter results. We are off to a strong start to the year with outstanding margin performance and robust free cash flow. Sales of $741 million were up 7% relative to last year or 8% organically. Volumes were up modestly compared to last year on top of 13% a year ago, and price added 8 points to growth. Foreign exchange was a 2-point headwind. First quarter segment income was $148 million, up 34%. Return on sales was 20%, up 410 basis points year-over-year. Better price-cost and positive productivity drove the outperformance versus our expectations. Price more than offset the impact from inflation of roughly $30 million. Our supply chain continued to improve, resulting in sequential and year-over-year productivity improvement. Q1 adjusted EPS was $0.67, up 34% and above the high end of our guidance range. We generated robust free cash flow in the quarter of $52 million compared to a usage of $3 million a year ago, reflecting our strong operational performance. This also includes significant CapEx investments for growth and capacity. Now please turn to Slide 6 for a discussion of our first quarter segment performance. Starting with Enclosures. Sales of $391 million increased 11% organically, with both price and volume contributing. Sales growth was broad-based with all verticals growing, industrial-led, driven by continued trends in automation. Infrastructure was also a standout contributor with continued strength in data solutions up 20%. Geographically, North America led, up double digits, followed by Europe. Enclosures first quarter segment income was $82 million, up 64%. Return on sales of 21.1% increased an impressive 710 basis points year-over-year, driven by strong execution. We also continue to see margin improvements from our simplification efforts. We are investing in added capacity and expansion of our data solutions business and expect this to ramp in Q2 and second half. Moving to Electrical & Fastening. Sales of $206 million increased 11% organically, driven by strong price. All verticals grew with commercial up modestly and infrastructure up over 20% organically with strength in power utilities and data solutions. Geographically, sales growth was led by North America and Europe. Electrical & Fastening segment income was $61 million, up 30%. Return on sales was a notable 29.8%, up 470 basis points relative to last year on strong execution. Turning to Thermal Management. Sales of $144 million were flat organically. Price contributed 4 points to growth, while volumes were negative. Energy and infrastructure both grew double digits organically with a solid pipeline of energy transition projects in LNG, biofuels, hydrogen and carbon capture. Industrial MRO demand remained strong. Commercial and residential declined with residential down double digits. Geographically, growth was led by North America with declines in China. Thermal Management segment income of $31 million was down 5%. Return on sales of 21.5% was down 40 basis points year-over-year, primarily due to mix. On Slide 7, titled Balance Sheet and Cash Flow, we ended the quarter with $303 million of cash on hand and $600 million available on our revolver. This week, we announced our financing for the pending ECM Industries acquisition, including pricing $500 million of 10-year senior notes and a new prepayable $300 million term loan facility. The balance will be funded through a combination of cash on hand and our existing revolver. So turning to Slide 8, where we will outline our capital allocation priorities. We believe our robust balance sheet and cash generation puts us in a great position to continue to invest in growth, return cash to shareholders and deliver great returns. We exited Q1 with a net debt to adjusted EBITDA ratio of 1.3x. On a pro forma basis, we forecast our net debt to adjusted EBITDA to now be 2.7x at the closing of the ECM acquisition. With our strong cash flow generation, we plan to delever quickly and be within our targeted range of 2 to 2.5x within the next 12 to 18 months. In the quarter, we returned approximately $44 million to shareholders including dividends and $15 million of share repurchases. Moving to Slide 9. We are raising our full year guidance, reflecting our strong performance. We continue to expect organic sales to grow 4% to 6%. We now expect adjusted EPS to be in the range of $2.65 to $2.73, up 10% to 14% versus our original guidance of $2.51 to $2.61. This new guidance reflects the strong start to the year, solid price-cost execution and better productivity. It also continues to reflect the uncertainties in the second half. It's important to note that our guidance does not yet include the impact of ECM Industries. We expect ECM's adjusted EBITDA margins of 25% to be accretive to overall nVent margins. and we expect cost synergies of $10 million to $15 million by year 3 with benefits starting in 2024. We continue to expect the deal to be accretive to adjusted EPS in 2023 excluding purchase price accounting and onetime deal-related costs. A couple of modeling assumptions to note. First, foreign exchange is expected to have a neutral impact to sales versus a previous 1-point headwind. And second, we now expect our tax rate to be approximately 18.5%. Looking at our second quarter outlook on Slide 10, we expect organic sales to be up 3% to 5%. We expect our distribution partners to continue to adjust their inventories and destock with improved supply chains. We expect adjusted EPS to be between $0.66 and $0.68, which at the midpoint reflects 18% growth relative to last year. Wrapping up, I'm pleased with our first quarter performance. We delivered strong margins, robust cash flow and are well positioned for another great year. This concludes my remarks, and I will now turn the call back over to Beth.
Beth Wozniak: Thank you, Sara. Turning to Slide 11. Since we became a new company, we put in place a strategy that has been working. We continue to execute on the core elements, focusing on high-growth verticals, new products, global expansion and acquisitions. We recently announced an agreement to acquire ECM Industries. We've had great success with the 4 acquisitions we've done, totaling approximately $300 million of revenue last year and growing faster than overall nVent. Each deal exceeded the weighted average cost of capital within 2, 3 years of closing our primary financial deal metric. We believe we will create great value with ECM Industries. Turning to Slide 12. ECM is a great strategic fit with tremendous growth potential. ECM complements nVent's electrical power connection and grounding solutions portfolio within our Electrical & Fastening segment. It will extend our cable management offerings with complementary labor-saving solutions and will add tools and testing instruments to our portfolio. In addition, ECM further positions nVent with the Electrification of Everything in high-growth verticals such as commercial solutions, power utilities, data centers and renewables. Overall, we believe ECM's complementary portfolio, strong brand and long-standing customer and channel relationships will be a great combination with nVent. ECM is expected to add over $400 million in sales and be margin accretive to nVent. We expect to close the transaction in Q2 and are working our detailed integration plan with a dedicated team. We have received a lot of positive comments on the potential of the combined companies from employees, customers and partners. We look forward to welcoming the ECM team to nVent. Wrapping up on Slide 13. We're off to a strong start to the year and have increased our full year guidance. We're well positioned with the Electrification of Everything, sustainability and digitalization trends. We are excited to add ECM Industries to our portfolio. I'm very proud of the team's performance. Our future is bright. With that, I will now turn the call over to the operator to start Q&A.
Operator: [Operator Instructions]. And we have a question from Julian Mitchell from Barclays.
Julian Mitchell: I just wanted to start off with -- I think you said the orders for first quarter were flattish year-on-year and largely tied to tough comps in March and some destocking. I just wondered if you could give a little bit more detail, anything noteworthy on end markets or geographies that weighed there in the orders and any color at all on April? I know it's a sort of feeble month in the context of Q2 in aggregate, but anything you've seen that's -- how does this month compare with March, for example?
Beth Wozniak: Yes. So as I said in our prepared remarks, we had a really tough orders comp in March. But we also started getting indications from our distribution partners. I had the opportunity to talk with several of them over the last several months that they felt very confident in supply chain lead times. And as a result, they were starting to bring down some of their inventory levels. So for March, it was both on a per day basis, it looked very much like February, but it had a really tough comp. And I would say as we go into April, we're continuing to see orders down. And when I -- when we look at orders, I mean, that's through our big distribution partners. I would say one area for us that is -- had been slow, as I mentioned also is in APAC and in China.
Julian Mitchell: That's very helpful. And then...
Beth Wozniak: But Julian, I want to make the point that even though orders are down, we see good sell-through of our product and good demand from our end customers. So what we're largely seeing through the distribution channels, it's just the rightsizing of their inventory.
Julian Mitchell: That's very helpful. And then just my follow-up would be trying to think about just kind of the year top down. So your sort of -- your guide seems to embed you're in this high $0.60 per quarter number. I think you were there in Q4, there in Q1, guided for that in Q2 and the full year guide embeds are you staying at that sort of $0.67, $0.68 a quarter, I think, through the back half. Just wondered if I'm thinking about it the right way for sort of the split between Q3 and Q4 having similar EPS sequentially. And also, it's sort of -- it's unusual for nVent and industrial companies in general to have kind of the same earnings and sales quarter after quarter, things tend to sort of break down or up before too long. So just wondered sort of your perspectives on the environment in that respect. You've got your sort of sideways sequential move in sales and earnings. I wanted to check if that's correct and how you see it moving after that.
Sara Zawoyski: Yes. So Julian, this is Sara. I'll take that one. So I would say it's fair to say that from a normal seasonality perspective for nVent, we would typically see slightly more EPS in the back half versus the first half. But I would say consistent with the assumptions coming into this year and for the guidance that we gave in February was that our EPS was a little bit more first half versus second half. And I think a couple of those things that we pointed out, and we continue to point out here would be, one, we would expect more positive price cost here in the first half in part due to the carryover of a lot of the pricing actions that we took in 2022. I think the second piece would just be the good backlog and visibility we entered into the year for. And I think the second half, I would just characterize it as simply being the macro uncertainties. So really nothing has changed in our guidance from that standpoint from where we were at in February to where we sit here today. I think it's just early in the year, and we'll see how that unfolds. But our view is that there's nothing that's been more meaningfully positive or negative. And we're balancing all the other smaller puts and takes to it to have that back half of the year remain relatively unchanged.
Operator: And our next question does come from Deane Dray from RBC Capital Markets.
Deane Dray: You hear me okay, this time?
Beth Wozniak: Yes. We can.
Sara Zawoyski: Yes.
Deane Dray: All right. Good. All right. Well, just also want to start off with -- you guys have been on such a tear for the last month between the Analyst Meeting, ECM and the positive pre-announcement, I don't think Tony's had a chance to catch his breath. All right. So first question is just -- maybe you could just give us some further color on Enclosures margins, up 710 basis points. I know you said it was execution. That's kind of obvious. But can you break out for us how much was price? Any particular kind of lifts, anything onetime that would have exaggerated that move? And how sustainable is that?
Sara Zawoyski: Yes. So I would say, Deane, nothing to call out in terms of kind of onetime in nature. I would say we're very pleased with the Enclosures margin performance, and we began to see that really in Q4. I think from a year-over-year perspective, just remember that, that business had a slower start in terms of kind of that price cost and productivity equation, and they were really working hard, ramping volume up like 13 points. So there's a lot of costs involved last year to be able to deliver for our customers against a big backdrop of supply chain challenges. So I would say in the context of Q1, their price was 9 points, and really pleased to see volume just over 2 points. So they had a nice contribution of both price and cost. I think the other thing I would point out is productivity. And that would be for broadly across nVent. But for sure, on the Enclosures side is that we probably saw that productivity improve at a bit of a better rate than what we would have expected coming into the year. We are always calling for maybe a more gradual supply chain improvement. We still see a very tight labor market, but we do see it getting better overall. So that margin performance really has a better price-cost equation to it and some good productivity. In terms of how we think about that in Q2 and the back half, we see it easing a bit. That 21.1% is a great absolute return on sales for a couple of different reasons, one of which I pointed out in my prepared remarks, we are expecting to increase some investments there. We've talked about the new capacity coming online. Some of that has some pay-go expense to that, but also building out our data solutions business as well. I think the other thing is just wage inflation will more broadly drop into our Q2 numbers here and into the back half.
Deane Dray: Got it. All right. And then just on -- I want to follow up on Beth's comment regarding the destocking that you're seeing and we're seeing this across the sector. And our thought here is this is all part of the normalization of the supply chain. There's just lead times are getting shorter and so there's not as much buffer stock needed. Just kind of take us through the dynamics there because you also said that the sell-through has remained strong. So that destocking should not be viewed as a negative. But just kind of -- can you quantify this? How long do you think it runs? And any kind of color from the distributors would be really helpful.
Beth Wozniak: Okay. Deane, I think you said it, it really is that. As we've come into this year, we've seen it ourselves and our distribution partners have seen it from many of their other suppliers as well, but the supply chain is in much better shape. Therefore, they don't have the need to carry as much inventory because they have the confidence in their suppliers, including us. And so they were simply counting on our lead times, right? That they're taking actions to reduce their inventory. And we started to see that in Q1, and we're seeing that through Q2. And that's really the conversation that I've had with many of them is that they wanted to get their inventory in a better position or just feeling confident in the supply chain. And I think we're going to see that into Q2. We'll have to see where the back half of the year is with the macro uncertainties, but that's reflected in our guide for our Q2 performance.
Deane Dray: Great. That's exactly what I was looking for.
Beth Wozniak: Yes. And just the point as I made to Julian is, but what we're really pleased with is when we look at their sell-through and our results of our sales through them, it's strong customer demand.
Operator: And our next question comes from Joe Ritchie from Goldman Sachs.
Joseph Ritchie: So I hate to harp on the destocking, but I do have one follow-up. I'm curious, are you seeing it broad-based across the portfolio? Is it mostly in EFS and thermal? Like any other color you can give on where you're seeing it would be helpful.
Beth Wozniak: Yes. I think it's generally very broad-based. We even see it in our Enclosures segment as you think about just the overall supply chain. So when these distributors look at where they're carrying inventory and a year ago, they were just trying to get as much inventory as they could to serve customers. So we really do see it across our entire portfolio.
Joseph Ritchie: Got it. That's helpful, Beth. And I guess, as I think about the rest of the year, clearly, price cost started off incredibly strongly. I'm curious, like EFS, right? You're putting up -- you're close to 30% margins now. It doesn't -- it seems like volumes probably turned at least modestly negative. I'm just trying to get a sense for the dynamics for price costs as we progress through the year and whether you're anticipating putting through additional pricing from here.
Sara Zawoyski: Well, Joe, I probably start from the standpoint of we're going to continue to be vigilant, right, managing that price cost equation as we've done over the last couple of years. We came into this year with the view and continue to have that view that we're going to manage price to offset inflation. And then productivity should turn positive as we saw it in Q1 here and continue to do that for the course of the year. I would say from a carryover pricing perspective and what we had sort of embedded in our overall guide, we had anticipated pricing to be roughly 3 points. We see that probably closer to 4 points just with a strong, I would say, realization of those pricing actions. And that's allowing us to stay front-footed from a price-cost perspective as well as for the productivity to roll in and to be positive. I think maybe your question in terms of kind of how we see that kind of flow through the course of the year, we would expect that price-cost spread to narrow from Q1 into Q2 and then sequentially there in the back half. So that's really more of a -- as we begin to lap some of those price actions of a year ago, we would expect that pricing contribution to ease and then just really resulting in that narrowing of that price-cost equation as we go through the course of the year.
Operator: And our next question comes from Jeff Sprague from Vertical Research.
Jeffrey Sprague: Nice on the quick pending close on ECM. I just wonder if you could give us a sense of how much accretion we should expect here in kind of the sub 6 months of the year? I can easily come up with $0.20 to $0.25 on an annualized basis, but I don't know if half of that in the first year when you're digesting is a reasonable way to think about it. So just maybe so none of us go crazy with our models here. Maybe you could frame up what would be reasonable to expect?
Sara Zawoyski: Yes. I would say that half is probably a bit high, Jeff. But we'll give more details after we close. I guess a couple of things to think about is, one, you probably have the interest rate with all the financing that we put in place here this week, we still feel like that roughly $60 million interest is the right number. Continue to see the taxes have that roughly 1 point of impact to nVent. I think in the context of the cost synergies, maybe it makes sense to give a bit more color there. I do think that from that $10 million to $15 million that we expect from a run rate in year 3, that largely won't drop in until 2024 because we're going to make the investments around the digital side of the equation as well as the R&D investments, we're going to begin that more a bit out of the gate in the first kind of 12 months here. So there's some investments that we'll need to make in order to achieve those synergies that we think are going to be ahead of when some of those cost synergies drop in. I think that maybe -- the other last point I would make is just the seasonality there. Q4, just overall -- the seasonality of that business sort of looks a lot like our EFS seasonality, a bit lighter on the Q4 side.
Jeffrey Sprague: Okay. And I guess maybe this comes back to the whole channel destocking thing, but just kind of from a different angle here. When you speak of kind of the strong sell-through, I'm just wondering if you can actually kind of quantify in percentage terms, what the sell-through is looking like and is there volume in the sell-through? So we've got kind of 2 quarters here in a row of no volume growth. Some of it is the comps, I get all that. But are we -- are we at a point where if your supply chain is improving, you've actually got the ability to pump more volume through the system, and the system is taking it? Or in some respects, do we have continued good demand, but in some respects, price is kind of crowding out volume, right? And people only have so many dollars to spend, right? So price maybe is crowding out volume in the demand equation. So I guess it's a little bit of 3D chess in that question...
Beth Wozniak: Yes, let me start by saying -- one of the things we look at is we always look at what are our distribution partners, what is their -- what is their overall revenue? What are they reporting, whether it's in the U.S. or Canada or wherever else. And then we kind of look at how are we doing? And I would say, generally, we're doing -- we're performing to their levels of performance, meaning our sales through are matching what they're saying their regional sales are and in some cases, better. So when we look at that, we also see volume growth there. Clearly, it's maybe there's more price than there is volume, but we are seeing expansion there. And I think our view is we're always pleased when our distributor sales, our sales are matching that through -- or even exceeding that in some cases.
Operator: And our next question comes from Nigel Coe from Wolfe Research.
Nigel Coe: So it seems like the destocking comments are causing a bit of concern here. So any kind of sense on where channel inventories are right now for your products and how long this process could continue for? And did you comment that this is primarily North America or outside North America?
Beth Wozniak: Yes. It's primarily in -- and we didn't, but it's primarily in North America. And remember, 2/3 of our products go through distribution, and a lot of that isn't within North America. And I would say this, that we expect this to -- it started in Q1, and I think we expect it to continue in Q2. And I think we have -- we'll see what we've said, there's going to be some macro uncertainties in the back half. But I think we're largely going to see this through Q2.
Nigel Coe: Through Q2. Okay. Okay. Yes, it doesn't feel like there's a huge amount of inventory in the channel, but yes, I appreciate that. And then just thinking about the second quarter, and I know Julian kind of went through the play-by-play by quarter, but if we just drill down into the margins for the second quarter, it seems like we're -- it seems like you're pointing towards like a 50 basis points decline versus 1Q. Corporate expense was pretty heavy in 1Q. So if that normalizes down to the run rate, that's about 50 basis points. So it looks like your point about a point of margin compressions versus the first quarter. First of all, is my math correct? First of all, is that right? And then secondly, what are we seeing outside of just consider them to cause kind of margins down at the segment level when we normally see margins going higher versus the first quarter? So any color there would be helpful.
Sara Zawoyski: Yes. So I think if you kind of back up to kind of the income and margin profile based on that Q2 guide, I think you'd probably see return on sales similar to where we were at in Q1. And I think that that's clearly on higher sales, right, given the seasonality, we do have that sequential uptick from a sales perspective. But that similar margin and what I would say similar EPS probably has 2 things reflected in that from a sequential standpoint. One would just be the wage inflation sort of dropping in, if you will, more broadly here in Q2 as well as some of the investments flowing in that we talked about. And I think the last thing I would just say is just that price cost narrows. But overall, again, another good quarter of growing at 3% to 5% organic and another meaningful growth from an EPS year-over-year perspective overall.
Nigel Coe: Great. And then just a quick one. Residential headwinds in thermal. Can you just remind us how much of that business is residential?
Sara Zawoyski: Yes. So residential is roughly 10% of the Thermal sales, but on an nVent level, that translates to roughly 3% of sales, so it's small.
Operator: Our next question comes from Jeff Hammond from KeyBanc Capital Markets.
Jeffrey Hammond: Just on commercial construction vertical, I guess, clearly, some kind of heightened concerns around this bank crisis, tightening lending standards, et cetera. Just as you kind of zero in on that vertical, how are you thinking about potential for slowing in risk there, particularly on the side?
Beth Wozniak: Yes. I think our view is we look at the same indices that everyone does like the ABI and see that as slowing. And usually for us, that's an indicator 6 months to a year out for us when we look at some of our stock and flow business in CADDY. So we do expect it to be slowing. I would say we've seen more of a -- the demand has still been strong for us through distributors. But as some of the destocking is occurring, we think those 2 could be tied. So yes, we've called it, I think, at the start of the year and here again, that we do expect commercial resi to slow.
Jeffrey Hammond: Okay. And then I'm not sure you mentioned backlog. Can you just speak to where backlog is? And are you starting to kind of -- as things normalize, starting to kind of catch up some of the backlog?
Beth Wozniak: Yes. So a couple of comments I would make there is, first of all, our EFS business doesn't tend to be a backlog business at all. So as we had backlog before, we've been working that down in past dues and things like that. So we've always said that business is generally stock and flow and it turns. In Enclosures, I would say 2 things, as we built more of our data solutions business, that's created some more backlog. So with Enclosures, we're still working down backlog on the industrial side. But I would say we're building some backlog on the data solutions side, as we continue to grow and we talk about it a lot, data solutions up 20%. So we see that increasing. And I would say we're working down backlog on the industrial side and Enclosures. And in our Thermal Management business, that backlog is about flat to down, but I would say that we're building -- what we're seeing on the flip side of that is a lot of orders and quoting activity for some of these energy transition projects. And so I think that is a very positive sign of the trends that we're seeing there that of future growth.
Operator: [Operator Instructions]. Our next question comes from Scott Graham from Loop.
Scott Graham: Another really good print. Obviously, we knew a little previously, but still good to see in writing. The only questions I have are not around destocking. One is if you'd be kind enough to give the pricing in the other 2 segments? And the second is on the data center up 20%. Is there some new customer capture there? And is that -- with the investing that you're doing behind it, is that maybe sustainable this year?
Beth Wozniak: So let me start, and then I'll turn it over to Sara to give you the color on pricing. So as we've talked about with data solutions, one of the key areas for us where we believe we are differentiated and we're seeing significant growth opportunities and potential is with liquid cooling. So a lot of the news these days is a lot about artificial intelligence. And as you look at the computing power and some of the new chips that are required, they need to be liquid cooled. And so it's a requirement to run the data center. It's an energy efficiency play. And so from our standpoint, we see this shift from what was not point -- like it was more just air cooling and not precision cooling to where liquid cooling is going, and that is a technology shift and trend. And we talked about that at our Investor Day that we see huge growth potential in front of us, as a result.
Sara Zawoyski: And Scott, just to maybe to round up the pricing question. So we talked about Enclosures being 9 points. Electrical & Fastening, their price was roughly 11 points. And then we had in our prepared remarks, Thermal at roughly 4 points.
Operator: And ladies and gentlemen, with that, we'll be concluding today's question-and-answer session. I'd like to turn the floor back over to Beth Wozniak for any closing remarks.
Beth Wozniak: Well, thank you for joining us today. I'm very proud of the performance we delivered in the first quarter. We will continue to focus on delivering for our customers, employees and shareholders executing on our growth strategy. We believe nVent is a top-tier high-performance electrical company, well positioned for the Electrification of Everything, sustainability and digitalization trends. Thanks again for joining us. This concludes the call.
Operator: Ladies and gentlemen, today's conference call has concluded. We do thank you for joining today's presentation. Have a great rest of the day. You may now disconnect.